Operator: Greetings, and welcome to the IZEA Inc. Second Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host Mr. Ryan Schram,. Thank you. You may now begin.
Ryan Schram: Good afternoon and welcome to IZEA’s Q2 2016 earnings call. I’m Ryan Schram, Chief Operating Officer at IZEA and joining me on the call this afternoon are my colleague IZEA’s Chief Financial Officer, LeAnn Hitchcock and IZEA Founder, Chairman and CEO, Ted Murphy. On behalf of our entire team at IZEA Ted and me we’re pleased to have you with us today. Earlier this afternoon we issued a press release with additional information regarding IZEA’s second quarter performance. As a reminder, all of our Investor Relations could be found on our corporate Web site at corp.izea.com. Please note that during the course of today’s call, our management team will discuss IZEA’s business outlook and may make forward-looking statements regarding the Company, that are pursuant with Safe Harbor provisions of the Federal Securities Laws. These statements are predictions based on our team’s expectations as of today. Actual events or results could differ due to a number of risks and uncertainties, including those mentioned in our most recent filings with the SEC. The Company and its management assume no obligations to update any forward-looking statements made during this call. With the appropriate disclosures out of the way, I’ll turn the call over to IZEA’s Chief Financial Officer, LeAnn Hitchcock to walk us through a summary of the Company’s performance in the second quarter of 2016. LeAnn?
LeAnn Hitchcock: Thank you, Ryan, and good afternoon everyone. I am pleased to share that IZEA had another record quarter. IZEA reported all-time record quarterly revenue of 49% to 6.9 million compared to 4.6 million in Q2 2015. This increase is primarily due to organic growth in all of the Company’s revenue streams, including sponsored social revenue, content revenue and to a lesser extent service fee revenue. Sponsored social revenue was 4.5 million accounting for 65% of total revenues in the quarter. Content revenue was 2.3 million, accounting for 34% of total revenues in the quarter. Net bookings increased 10% to 6.8 million compared to 6.2 million in Q2 2015. We are continuing to see larger deal sizes that extend over longer periods of time, which impact our near-term revenue recognition. In order to provide more clarity to our investors, we introduced revenue backlog as a key performance indicator last quarter. Revenue backlog consist of unbilled bookings for campaigns which has not yet started, as well as unearned revenue for campaigns that are not yet completed. Revenue backlog at the end of the quarter was 8.9 million, including unbilled bookings of 5.1 million and unearned revenue of 3.8 million. The majority of the current year revenue backlog is expected to be recognized as revenue within the 2016 fiscal year. Gross profit for the quarter increased 104% to 3.5 million, as compared to 1.7 million in Q2 2015. The increase in gross profit is attributable to the increase in revenue during the quarter, along with improved margins on that revenue. Gross margin for the quarter was 51%, up from 37% in the prior year quarter. This gross margin improvement is primarily due to improved profit margins on our sponsored revenue and that doubling of our profit margins of content revenue, as we have shifted the focus to brand. We believe this margin improvement is a steady path of progress for both sponsored social and content. But caution, as we continue to add more IZEAx partners it may have an impact on future margins. That said those reductions in margins should be offset by the operating margin improvement we gain from not servicing end-marketers and increased service fees. Our content gross margin increased 1,300 basis points to 24% versus 11% in the same quarter last year. We expect margins on content revenue will continue to improve overtime, due to growth in brand-centric content creation. Sponsored social gross margin was 63%, up from 58% in Q2 2015. Operating expenses in the second quarter of 2016 were 5.1 million, compared to 3.9 million in the same period last year. Operating expenses increased as a result of a $1.2 million increase in personnel cost and other variable expenses due to the increased number of personnel. We increased the average number of personnel by more than 26% to 146 members by the end of June 2016. We also increased salaries for existing personnel and added senior team members after Q2 2015 that contributed to the large increase between quarters. Commission expense included in personnel cost also increased as a result of the increase in revenues. Increases in other expense categories were offset by a $216,000 decrease in our Q2 legal fees as a result of the settlement of our patent lawsuit in the third quarter of 2015. We still expect that growth and expenses will be higher in comparison to prior years, but that this growth is beginning to stabilize and not grow at the same rate as the increase in our gross profit. This is the first step towards achieving profitability. Adjusted EBITDA for the quarter was negative 1.1 million compared to negative 1.7 million during the same period last year. The improvement in adjusted EBITDA is primarily due to the improved profit margins that partially offset by continued investments in personnel. Net loss for the second quarter of 2016, was 1.6 million compared to a net loss of approximately 2 million in the second quarter of 2015. Loss per common share for the second quarter of 2016 was $0.30, compared to loss per common share of $0.69 in the prior year quarter. This is primarily due to the improved margins partially offset by a $224,000 difference in the change in the fair value of the Company's derivatives and the increase in personnel cost between the periods. As of June 30, 2016 we had $8 million in cash on-hand, a positive working capital balance and stockholders' equity of 11.4 million. In addition to our cash on-hand, we continue to have an untapped $5 million credit facility with Bridge Bank. I will now pass it over to Ryan to provide a recap of the Company's operations during the second quarter.
Ryan Schram: Thanks LeAnn. As you might imagine, our teams across the U.S. and Canada are very proud of the continued performance put forward during the second quarter, as well as the greater trajectory of the business overall. However, the core part of IZEA’s belief system is that today's success can breed tomorrow’s failure if it makes us complaisant about staying focused, and continuing to do our mission, the things that other companies simply do not. It's one of the reasons our client development management philosophies are straight forward. Number one; be excellent never average, number two; act with urgency, number three; making impact; and number four, anticipate need. These values are part of what makes the IZEA way an integral aspect of our business’ success both now and into the future. I believe it truly differentiates us from those who are just entering our segment in a ‘me-too’ fashion, in trying to figure out an industry created 10 years ago. One of the things we’re proudest of this quarter, was our team’s ability to grow the business, while continuing to be prudent stewards of company capital. Not only where clients are willing to pay a premium to work with IZEA, because of the high level of service and thought leadership we’ve become known for in the industry, but because our internal team’s continues focus on optimizing our expense structure, on items both big and small, this isn’t just a onetime thing for us but an important aspect of our operational culture that happens each and every day. During the second quarter, the Company’s average deal size increased more than 13% over Q2 2015 as budgets continue to increase and IZEA becomes a recurring aspect of brand-marketing and advertising plans. In taking over the ratio of new versus existing clients during the quarter, it was also 50-50 split, with 3.4 million coming from existing clients, including American Family Insurance, Breyers, Chobani, Loeb & Loeb, Wiley and Lending amongst others. But at the same time, our client development team was able to tier $3.4 million in Q2 from new members as the IZEA family. And we’d like to extend a warm welcome to some incredible brands including CORT Furniture, Fuji, Jockey, Mercedes Benz, Red Robin and Whirlpool amongst others. Turning attention to our team, at the end of Q2, IZEA reached 146 total full-time employees, with 50 core tiering sales people on staff, 19 of which have joined the Company in just the last six months. So they are so ramping up and not even consistently contributing yet. Those newer individuals as well as those that we hired in addition to them down the road are being put in place to support our stated growth plan for 2017 and beyond. As a mean for helping maximize shareholder value, making sure we have the very best talent on our team and the highest quality workplace available to those employees is at the very top of our priority list. That’s why we were particularly proud to be acknowledged on June 06, by the Orlando Business Journal as one of 2016’s best places to work. What makes the award even more special is that it’s based on responses from the employees themselves, not just an editorial board looking at the Company from the inside in. On the regulatory front, we furthered our commitment towards industry stewardship through our work that our general council, Sandra Carbone has done in conjunction with partners at the ASC, the advertising standard council in Canada. Tracking key amendments to the Canadian code of advertising standards related to influence our marketing. This is yet another effort the Company is focused intensely on, as we look beyond the borders of the United States to create new opportunity and lasting presence in various geographies around the world. Now, for additional commentary of the Company's performance and some perspectives on recent news related to our growth strategy. Please welcome my colleague, IZEA's Chairman & Chief Executive Officer, Ted Murphy. Ted?
Ted Murphy: Thank you, Ryan. As we began 2016, one of our top objectives of our leadership team was to optimize and streamline operations throughout the organization. Specifically, we want to improve those margin, revenue per employee and OpEx to revenue ratios. While top-line growth remains our primary objective, we are mindful and respectful of the bottom-line impact. We continue to gain operating leverage as we scale our organization. The improvements in the bottom-line are being achieved through the continued refinement of processes, technology automation and a watchful eye on expenses. I am pleased with the progress we made in Q2 in particular. Gross margin for the quarter exceeded 50%, up from 37% in the same year ago quarter. Annualized average revenue per team member grew to $588,000, up from $463,000 in Q2 of 2015. Cash based OpEx to revenue decreased to 66% in Q2 of 2016, down from 74% in Q2 of 2015. While OpEx has increased 32% versus Q2 last year, gross profit has increased 104% during the same period and EBITDA loss decreased 36% year-over-year. When we acquired Ebyline in January of last year, one of our core assumptions was that, we would be able to dramatically change the percentage of dollars that flow to the bottom-line. In the 18 months since the acquisition, we have more than doubled our gross margin on content, from 10% in Q1 of 2015 to 24% in Q2 of 2016. We are proud of what we’ve accomplished here and believe there is still plenty of room for improvement. Our technology is another key component of expense optimization. In Q2, our engineering team deployed 51 releases of IZEAx, creating a constant stream of feature enhancements, bug fixes and user experience improvements that affect both end-users and internal users. We are relentlessly improving our system and some of the biggest new features have yet to be unveiled. I hope you can join us at IZEAFest in February of next year to see what we’ve been working on. To register for tickets, please go to izeafest.com. At the beginning of this month, we announced the acquisition of ZenContent. A technology platform optimized for high-volume content production, with the concentration of clients in the ecommerce and publishing faces. We are very excited to have joined forces with the ZenContent team and believe that this acquisition will create a variety of new opportunities for IZEA. I have received many inbound enquiries about the acquisition, and would like to provide some clarity for our investors. ZenContent was based in Mountain View, California and IZEA will now maintain a small filled office in Silicon Valley. The revenue run rate for ZenContent was approximately $2 million. ZenContent had a gross margin profile of approximately 50% and was breakeven. We discovered ZenContent as a result of a shared customer, but had overlap with multiple customers. While we will maintain the ZenContent Web site for now, we will go-to-market under the IZEA name moving forward. The acquisition of ZenContent has allowed us to expand and change our overall content offering. We’ll be moving away from the term virtual newsroom in favor of the larger service umbrella called custom content. Under custom content, we now offer a larger variety of content types at different price points, from metadata and copy block to feature stories and videos. We believe that ZenContent’s focus on e-commerce and publishing will be synergistic to other areas of our business as we look to the future. For instant, publishers are a natural fit for some of our flywheel initiatives currently in development. An e-commerce client using SocialLinks are the same types of customers we want to sell content to. The structure of the ZenContent deal calls for up to $4.5 million in total payouts, with the majority of those payouts coming in the form of an earnout. While variations in annual revenue could impact the ultimate number, we estimate that the ZenContent acquisition will need to deliver approximately $16.5 million in high margin revenue over the next three years in order to receive the full payout. We are executing today, but we are building or buying the pieces we need to continue to be the premier marketplace for creators in the future. Our assets are more dispensable and valuable as part a holistic offering to our client, and create more liquidity and opportunity for our creators. Looking ahead, we will continue to actively pursue accretive acquisition opportunities that can both grow revenue and increase our penetration in niche markets. In addition, we will continue to invest in growing our sales and engineering organization to support continued growth. I remain confident that we are on-track based on the guidance we provided at the beginning of the year. For the trailing 12 months ended June 30, 2016 revenue was up 83% to $24.1 million as compared to $13.2 million in the same year ago period. IZEA expects 2016 bookings to range between $33 million to $35 million, which would represent growth of 35% to 43% versus 2015. The Company expects 2016 revenue to range between $27 million to $30 million, which would represent a growth of 61% to 71% versus the prior year. I'll continue my travels to meet with investors in major markets around the country over the coming months. If you would like to arrange a meeting with me, while I am in your city, please reach out to Ron Both at Liolios. Thank you for your time this afternoon. I'd now like to open up the call for Q&A.
Q - Darren Aftahi: First, can you talk about how the larger deal sizes are kind of impacting kind of transaction complexity and lead times?
Ryan Schram: Hi Darren it’s Ryan, they defiantly do, I mean as one of the things that’s working for us and also I guess working against us due to timing, in that’s to be expected as we continue to get access to larger and larger budget. That being said, one of the things that’s helpful is that, we’re moving in the direction as the category grows and the budget that are at those particular clients and the access to them is also increasing. So our hope is, is that, as content marketing continues to gain share from other forms of traditional marketing and advertising, that process could become shorter overtime but this is a fast moving, fast growing segment.
Darren Aftahi: And then one more if I may, can you talk about what the relative growth in content revenue between news versus brand was in the quarter?
LeAnn Hitchcock: Yes we can do that, actually we’re seeing a change in the news to be increasing, or the brand is increasing now and that’s putting a lot higher contribution compared to Q1, so that it’s basically contributing more to the bottom-line, because we doubled the margins on the brand revenue to that.
Darren Aftahi: So just unclear, if I look at the revenue growth is up 9% to 10% in content year-over-year, is it fair to assume you guys are deemphasizing news, and hence emphasizing brand so we are probably seeing a faster sort of focused growth profile in content rather than may be the revenue not growing as fast as it looks optically?
Ted Murphy: Yes, we’re not really focusing any sales efforts right now in terms of the newspaper side of the business. That is something that we look at as we’re maintaining that the best we can, but the world of newspaper publishers is very challenged right now and frankly that business due to its margin profile doesn’t make sense for us to put a lot of sales resources towards. So as our team goes out, they are really focused on selling content to brands, rather than newspapers.
Darren Aftahi: And more and then I’ll hop back in the queue, so can you talk about the customer split in the quarter between managed and self service, and how was that kind of continued into this third quarter in terms of the positive impact you are seeing on gross margins?
Ted Murphy: Yes, the majority of the business is still managed and we see that that’s going to be something that continues well into the near-term future, but that is also what is helping it to drive up those margins for us. The managed customers are very high -- they are high margin, we are able to charge management fees on top of the exchange fees and that’s one of the reasons that the margin profile was so strong in this quarter.
Operator: Our next question comes from Matt Tiampo, Craig-Hallum.
Matt Tiampo: If I could build on one of the last question just for a second, in terms of the content business, what is the magnitude of newsroom versus the brands? Is it say 50-50 and then what's the difference -- I am guessing the newsroom margins are sort of close to last year's margin which is around 10%-11%, but what is the gross margin contribution from the brand side?
LeAnn Hitchcock: Right, so the -- from the brand side we are actually seeing the increase that was around the 20% range and now that’s coming up into the 40% range, which is getting closer to our other margins on our managed business, and that’s really where we are going out and pricing that. So a lot of the average margin is being pulled down by the news clients that are still ranging between 7% and 10%.
Matt Tiampo: And then maybe quickly just give us a little bit of color on average deal size, I think we are starting to lap sort of some bug increases that occurred a year ago, but what are the factors driving the continued increase in deal size and how much are there do you think that can go?
Ryan Schram: Matt, it's Ryan. I mean ultimately this is sometimes an issue of more timing than anything else, we continue to remain very bullish that we are getting access, as I mentioned to Darren to larger budget overall and if you have one very high six digit or low seven digit commitment in your quarter that can fall in by a day or two depending on how that calendar reach sorts out. It can dramatically change that math. So I wouldn’t characterize the average deal size as slowing down, it's just that we are starting to reach a place where a certain number of critical deals have implied in past on everything.
Matt Tiampo: Okay great. And then I think one last one from me. I think it's noted that you interpreted a top-10 U.S. retailer into your SocialLinks program, any color on maybe what type of retailers are there or any additional color actually you could give us, will be helpful? Thanks.
Ted Murphy: Yes, actually if you were to allow getting into the platform you would see that you can now access both eBay and Target under the SocialLinks platform. So now we have access to the inventory on both of those systems We are going to continue to bring on additional retailers overtime and I would look to see what some of those additional retailers are in Q1 of next year.
Operator: [Operation Instructions] Our next question comes from George Kafkarkou, a Private Investor.
Unidentified Analyst: I have a few questions, but one thing I want to ask again. I want to make sure I understood it properly, one of the things that strikes me about the revenue split between you and existing, the last quarter it was very similar to this quarter 50-50 right, this quarter it was 50-50 I thought I heard. 50% new business, new customer, 50% repeat, existing customers, right?
Ted Murphy: Yes, and last quarter it was approximately 60-40.
Unidentified Analyst: Okay. So perhaps that is a lead indicator to say there is just a lot of headroom still right?
Ted Murphy: That’s our thought process George. I mean ultimately as we are growing all these figures, whether it’s bookings revenue, margin pipeline, the fact that we are seeing it come from both side walls of the business is a really strong indicator. We would be very concerned if the tables tipped to where were able to see any new business benefit from the investment that we are making and even benefit from sales.
Unidentified Analyst: Okay. So let's move on to the qualified opportunity pipeline right, this is a pipeline for clarification whereby you guys have issued formalized proposals to prospects and this is now the biggest ever it's been again right 37, or whatever the number was right. How -- we just spent a lot time on this, how many seven figure deals are in there? How many big deals? What does bread and butter deals look like for you? How do you think about that guide?
Ted Murphy: Yes, so the pipeline continues to grow with larger and larger deals, but at the same time we are constantly adjusting, and looking at the opportunity size in that pipeline. So when we are evaluating what people are putting in as new opportunities, we are also kind of handicapping against that they how likely we do think this is, that that could be a wide range from $0.5 million to $2 million and if we tend to be a little bit conservative in terms of what we actually put in the pipeline and count towards that pipeline. So until we have more seven figure deals closed, I'd say that we are handicapping those pretty significantly in terms of what we count and report in the raw pipe.
Unidentified Analyst: So I am assuming there are some seven figure deals. I don’t want to focus on that, it’s a given that the deals are getting bigger, they are getting more complex and that’s great. But you also measure it as a metric I assume on volume, frequency, the number of deals, it is just not that there are many more bigger deals which is wonderful to hear of course, but my question is in addition if they are increasing the volume of deals?
Ted Murphy: Well there is really two things happening, the overall pipeline is growing, all overall size of those deals are growing, we have more sales people creating more opportunities. But at the same time we are also making bigger asks than we have in the past. So instead of asking for a small campaign that may run over a month or two or three months we are asking for annual commitments, because a lot of these clients are coming back their second or third time. So that may actually impact the raw count of opportunities but we believe those are higher quality opportunities and ultimately for a larger dollar amounts.
Unidentified Analyst: Okay. Then let’s move to the IZEA platform, you mentioned, someone mentioned in your prepared remarks I think you Ted, there have been 51 new features implemented. So as I see the IZEAx platform develop over the years and now compromises of social sponsorship, content, I guess now with the ZenContent acquisition, e-commerce content and now more and more traditional performance marketing stuff as well right. So IZEAx did not begin in that image right? Can you talk to the evolution of this, and for example the 51 new features, some of them rounded off to encompass all of those four segments, I appreciate that ZenContent has not been integrated yet, but I think you get the essence of my question, right?
Ted Murphy: Yes there has been 51 releases I wouldn’t necessarily call all of those features, but IZEAx is really focused on two things and that’s sponsored social and content and the types of sponsored social campaigns that people can participate in has grown overtime as has the type of different content opportunities. As we look to the future, we believe that brands and creators will interact in many different ways, through different types of compensation models. And while we have most of our transactions today that are based on a cost per asset basis, we believe that there is an opportunity to blend compensation models and that’s why you see things like SocialLinks and other flywheel opportunities that we have talked about. When you think about e-commerce content that is really just, it’s a subset of content, it’s a different asset type, much like you could go through and have a Tweet or an Instagram post or a YouTube video. So all of these things really say if you go back and you were to look at the original patent we filed for, these are all actually included in that umbrella and what we’re doing is just continuing to chip away at that grand plan and implement features as we see that there is opportunity and as we see that there is a market for that feature.
Unidentified Analyst: Very good, so how, so like for example, some of the flywheel stuff like SocialLinks and other things that are coming, do you view that as part of the requirements for IZEAx or do you view that as additional revenue opportunities, perhaps lower margin but it really helps to increase the visibility, the horizontal visibility as it were. Do you think that is volatile or?
Ted Murphy: We think of this as all of these create different opportunities for creators to interact with brands, it creates more liquidity in the marketplace and that’s really important to maintain those relationships with the creators. We also recognize that different marketer’s value different things, the majority of our marketers today are very brand-centric and they are comfortable paying on a per asset basis. But we also recognize that the majority of online ad spending right now is going to things on a cost per click basis or cost per action basis or cost per engagement basis. And so we want to open up our platform to those types of marketers. And it's also important to understand that those marketers exist inside of the same organization. So we could be selling into a brand but just passing one aspect of their dollars just the brand spend while we could be tapping into their counterparts’ budget over in the performance marketing side. And so if you look at that, and you step back even further, like look, we want their SCO dollars, we want their content dollars, we wants their brand dollars, we want their performance dollars, and that makes us a much more efficient sales team once we have established that relationship with the customer.
Unidentified Analyst: Okay. Can you give me an example of the top two or three new capabilities that you have implemented as part of the 51 releases in IZEAx? What comes to mind as the top two or three?
Ted Murphy: Some of the ones I am most explained about -- obviously we had a big release of SocialLinks in the last quarter, and the integration of Target. So that’s a big one. Actually, what happened behind the scenes there is even more exciting with some of the capabilities that that gave us to integrate with Reckitt and then the expansion that we have made inside our video offerings to further streamline that and to gain access to new platforms. Video seems to be a very high interest right now to marketers. We wanted to expand our capabilities to make that even easier.
Unidentified Analyst: Okay. You mentioned the biggest new features have yet to be unveiled. Can you elaborate on any of those or give us some indication?
Ted Murphy: You always want more, you always want more. We -- I really can't go into the further details on that right now. I can tell you that the team has been working hard on those new features, really since the last IZEAFest, and we plan on showing what we have been working on in February.
Unidentified Analyst: Okay, all right. And okay super. Then just one last question, if I could. Are we still on-track to be cash flow positive towards the end of 2017?
Ted Murphy: Yes, I mean I believe that we have already made some pretty significant progress this year in terms of getting to that point and that we remain on-track to be breakeven by the end of next year. The one thing I’ll say that I want to caution that is we have acquisitions that could extend that timeline depending on the company and the structure of the deal.
Unidentified Analyst: Okay, all right guys, great quarter again. Well done. Congratulations. Thank you.
Operator: Our next question comes from Alex Silverman of Special Situations.
Alex Silverman: So this is the smallest sequential increase in SG&A that we have seen I think since we have been investors, really slowing down obviously you guys added a bunch of sales and marketing folks in there and commissions can have a, obviously a big influence but how LeAnn should we think through OpEx going forward or growth in OpEx?
LeAnn Hitchcock: As a total dollar number we are still expecting to see that increase over the next two quarters. But as you said the commissions are growing, and as the salaries related to the additional personnel are growing, but as a percentage of revenue and the gross margin it definitely will be decreasing.
Alex Silverman: Okay. So…
LeAnn Hitchcock: [Multiple Speakers] On the timing of when the revenue is increasing, or when those dollars hit.
Alex Silverman: And then SocialLinks you have added, you said you added Target I know it’s expensing, I know it's time consuming to add new partners. I know there is a bunch of partners that would like to be added. How do you triage and how do you decide, who to add next?
Ted Murphy: That really is based on what we think is a good fit for our network and our creators. We have no shortage of people who want to be part of that program, but we are also still looking at how do we make sure that our creators are able to monetize in a way that makes -- has it make sense for them. So looking at those conversion rates, looking at the product catalog how well it’s organized, what the imagery is like from that particular e-commerce providers those are all things that we taken to account.
Alex Silverman: Okay. And I mean does the partners somehow is their commitment to this come in too as a factor at all?
Ted Murphy: I mean one of the beauties of that program is that once we are able to get the API access they don’t really have to do too much. The system kind of takes over and we don’t really have to do too much either. So you have some heavy lifting upfront to just make sure that everything comes in properly and is indexed and is updating, but beyond that it is no ongoing effort for the partner and really no ongoing effort for us unless they make changes to our API.
Alex Silverman: Well have you been able to get Zen to sharing the cost of the setup at all?
Ted Murphy: That hasn’t been something that we have pursued to-date, we feel like we want to get some more data before we get to a point where we are charging the partners. That said, we have been able to dramatically impact the time it takes for us to get a partner signed up. And so our cost of doing that is relatively minimal now.
Alex Silverman: Okay. And then my last question, content margin at 24% was there anything in there that resulted in the, call it 500 basis point improvement sequentially?
LeAnn Hitchcock: The biggest change was really just the increase in the brands orders as the decrease in the newsroom orders.
Alex Silverman: So just mix?
Ted Murphy: Yes.
LeAnn Hitchcock: Yes, it is really just -- it’s all about the mix.
Ted Murphy: Yes.
Alex Silverman: And admittedly ZenContent is going to get mixed in there with a much-much higher gross margin, but putting that a side, is there any reason to believe that this legacy content business should slip below where it is today?
Ted Murphy: Below that 24%?
Alex Silverman: Correct, excluding ZenContent.
Ted Murphy: No, we believe that that is going to continue to grow and we’re very-very encouraged by the margins that we’re getting from the brands now. I mean they are for many of the projects now they are in line with what we’re doing on the sponsored social side. So we think…
Alex Silverman: Really?
Ted Murphy: Yes, we’re going to continue to have some steady progress there and it should only improve overtime.
Operator: Our next question comes from Jon Hickman of Ladenburg Thalmann.
Jon Hickman: Hi. Ted I am sorry I missed a part of the early part of call there. Could you maybe characterize how the Target, SocialLinks is going versus the, what you experienced with eBay?
Ted Murphy: Yes there has actually been a lot of more interest in sharing those Target products than they were in eBay. We still actually haven’t released that to everybody in the network, so it is still on a limited basis and we’re still tweaking things. One of the things that we’ve noticed that some of the feedback we’ve gotten is that the searching capabilities of that library still need to tweaked a bit and so we’re continuing to work on that, so that the creators are able to find exactly the right products that they are looking for. But overall in terms of engagement on Target versus eBay, we have seen a much higher engagement on Target than we did on, eBay when we released that.
Jon Hickman: [Multiple Speakers] Can you say why? Why it’s better?
Ted Murphy: I think the part of that actually has to do with imagery, if you do a search on eBay, some of the images that are returned back are, they are consumer generated they are not necessarily high quality. Whereas as the things that are returned back from Target tend to be more uniformed and of higher quality and higher larger images. And so when people are making a decision on what they want to share and those images are showing up in their social feeds, I think that they just make you more comfortable with those higher quality images.
Jon Hickman: Okay. And can you give any sense, I don’t know if you gave this earlier and if you did I’m sorry. Like is there some kind of percentage of your creator, of your influencers that are actually dabbling in SocialLinks? I mean what's the usage kind of thing?
Ted Murphy: Yes, well I mean it's not even available to everybody right now, so it's not something that I even know of the top of my…
Jon Hickman: That’s even meaningful? Okay.
Ted Murphy: Yes, yes.
Jon Hickman: Okay, thank you. That’s it from me.
Operator: Our next question comes from Darren Aftahi with ROTH Capital Partners.
Darren Aftahi: Yes. Hi guys, just one follow-up. Just given kind of what you have talked about on the brand size with the content fee for the revenue, excluding anything from ZenContent like what is sort of the rough quarterly run rate you guys need to get to be breakeven on an adjusted EBITDA basis? Thanks.
LeAnn Hitchcock: On the content side or on the entire organization, are you referring to?
Darren Aftahi: Consolidated.
Ted Murphy: Yes, we are in that somewhat in the $10 million quarterly run rate.
Darren Aftahi: Got you, thank you.
Operator: We have reached the end of our question-and-answer session. This does conclude today's conference. Thank you for your participation. You may disconnect your lines at this time.